Operator: Ladies and gentlemen, welcome, and thank you for joining the Via Optronics Second Quarter 2021 Financial Results Conference Call. Throughout today’s recorded presentation all participants will be in a listen-only mode. The presentation will be followed by a question and answer session [Operator Instructions]. I would now like to turn the conference over to Ms. Savarese from Investor Relations. Please go ahead.
Lindsay Savarese: Good morning, and welcome to the Via Optronics second quarter 2021 financial results conference call. I'm Lindsay Savarese, Investor Relations for Via Optronics. Joining me on the call today will be Jürgen Eichner, Via's Chief Executive Officer; and Dr. Markus Peters, Via's Chief Financial Officer. Today's call is webcast live and will be archived on the Investor Relations section of Via's website at via-optronics.com, where the company's earnings press release is currently available. Certain matters we will be discussing today, including the business outlook and financial projections for the third quarter and full year 2021, are forward-looking statements. Such statements are subject to risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. These risks and uncertainties are discussed in the company's documents filed with the SEC, including Via's annual report on Form 20-F, which was filed on April 29, 2021. Please note that any forward-looking statements that are made on this call are based on assumptions as of today, and the company undertakes no obligation to update these statements as a result of new information or future events. And with that, I'd like to turn the call over to Jürgen.
Jürgen Eichner: Yes. Thank you, Lindsay. Good morning, everyone, and thank you for joining us today. First of all provide a brief overview of our second quarter 2021 results I will then discuss our recent acquisition of Germaneers, followed by our key achievements and loaded awards in the quarter before I turn the call over to Markus, who will review our second quarter financial performance in more detail and provide our outlook for the third quarter of 2021 and the full year. Turning into the second quarter. Revenue of €43.7 million increased 11.5% year-over-year, driven by growth in our Display Solutions segment. Our EBITDA in the second quarter of negative €4.7 million decreased from positive €2.6 million in the second in the second quarter. I'd like to provide a few words on the global component shortages. Although we have been able to successfully manage the impacts of the global supply disruptions and continue on our growth path, our second quarter revenue was slightly affected by the shortages. While these shortages have been impacted many companies globally, we still expect to record about 20% revenue growth in 2021 compared to 2020. There's an increase in some of our components and transportation costs driven by the shortage, however, we are working with our customers on a case-by-case basis to resolve potential impacts on margins. I am pleased to report that we solve the issues we had with our equipment supplier for the new German facility without affecting our revenue by using additional production capacity in our China facility. During the second quarter, we have already completed the site acceptance test in Nuremberg for the new facility and are now ramping up production for a large U.S.-based EV manufacturer. Consistent with our strategy of extending our leading position in interactive display systems, especially for the automotive market. We acquired Germaneers during the second quarter. Germaneers is a high-tech engineering company focused on automotive system integration and user interfaces. The company provides solutions for a range of well-known high-end original equipment manufacturers. Through this transaction, we are strengthening our customer engagement in the early concept phase of the auto design process. Together with Germaneers, we can design and deliver compelling ecologically advanced cockpit solutions, including, but not limited to, sophisticated user interfaces with brilliant optical and sensing performance in cameras for interior and all types of ADAS and driver assistance functions like surround view, mirror placement and driver monitoring. We already had a strong working relationship with the company for over two years and are thrilled to welcome the entire Germaneers team on board. We also made a financial investment in SigmaSense, a global leader in batch controller technology. With this investment, we have expanded our collaboration to develop new touch solutions for automotive applications, industrial displays and consumer electronics. We believe that we will be able to produce new and exciting touch and sensing solutions by combining our metal match touch sensors with SigmaSense touch controller. We continue to receive project awards that have further increased our presence in the automotive, industrial and consumer markets. In addition, we are now expanding our presence in the overall EV infrastructure market by providing display touch solutions for charging stations. Our backlog and pipeline continues to be much stronger with much better visibility into the upcoming years, and we believe this trend will continue. Looking ahead, will further execute on our strategy of driving our sales in the auto and industrial markets, leveraging our LCD of the new bonding sensor and camera capabilities to deliver system solutions while expanding the number and times of our projects within our existing customer base. We are constantly benchmarking and evaluating existing and new M&A opportunities focused on electronic system design to further increase our R&D capacities. As announced in July, Daniel Jurgens has transitioned the CFO role to Dr. Markus Peters, I'm grateful to Daniel for all the work that he has started for year, especially during the transition from a privately held company to the public markets. I wish him all the best in his future endeavors. I would like to welcome Markus to the VIA team bringing lots of experience, especially in Baltic markets. With this, I'd like to hand over to him to present our financial results and outlook in more detail.
Markus Peters: Okay. Thank you, Jürgen, and good morning. I'm very pleased to review Via’'s second quarter results on my first earnings call as CFO of the company. We would like to thank everyone for their support during my transition over the last 2 months. I'm excited to serve on the Board of Via and help the company execute on the large opportunities ahead of us. We provide cutting-edge technology solutions to large and growing markets and serve some of the largest and most innovative companies in their respective industries. I look forward to having the company execute on these opportunities and help the business to achieve long-term profitable growth. I'll start by reviewing our financial and operating performance for the second quarter and then provide our outlook for the third quarter and the full year 2021. Total revenue in the second quarter of 2021 was €43.7 million up 11.5% from €39.2 million in the second quarter of 2020. However, as Jürgen mentioned, our revenue was slightly impacted by the global semi shortage, which resulted in a shift of our customers' demand to future quarters. Total Display Solution revenues was €37.4 million in the second quarter of 2021, up 14.7% from €32.6 million in the second quarter of 2020. Growth was driven by increasing demand, especially in the automotive market, but also in the industrial sector. Display Solutions revenue represented approximately 86% of total revenue in the second quarter compared to 83% in Q2 of 2020. Within our Display Solutions segment, revenue from automotive customers grew 217% year-over-year in the second quarter and accounted for 35% of revenue compared to 13% in the second quarter of 2020. Revenue related to the industrial and specialized applications end markets grew 7% year-over-year and accounted for 45% of revenue from 49% of revenue in the second quarter of 2020. Revenue related to our consumer end market represented 20% of revenue compared to 39% of revenue in the second quarter of 2020. Total sensor technology revenue was €6.3 million in the second quarter of 2021, down 4.5% from €6.6 million in Q2 of last year. Sensor technology revenue represented approximately 14% of total revenue compared to 17% in Q2 of 2020. Total company gross profit margin for the second quarter of 2021 was 14% compared to 13.3% in in the second quarter of 2020 and was driven by higher sales of our Display Solutions business and better margins in our Sensor Technology business. Our Display Solutions gross profit margin was 10.7% in Q2 2021 compared to 11% in Q2 2020. Our Sensor technology gross profit margin was 33.3% in the second quarter of 2021 compared to 25.8% in the second quarter of the previous year. The increased gross profit margin was primarily driven by enhanced utilization of our existing production capacities. Now turning to expenses. Total operating expenses in Q2 were €9.1 million or 21% of total revenue, which compares to €4.3 million or 11% of total revenues in the second quarter of 2020. This increase was driven primarily by further strengthening our corporate and R&D capacity as well as public company-related expenses. We have increased our headcount as we prepare for further growth, especially in the complex environment of the automotive industry, and are continuing to further enhance our organization to meet these growth opportunities. In addition, as noted in our earnings press release for Q2, we have reallocated some personnel costs from general and administrative expenses to selling and R&D expenses. This had no material impact from prior period results. In line with our expectations, research and development expenses were €2 million or 4.6% of total revenue in Q2 2021, which compares to €0.5 million or 1.3% of total revenue in the second quarter of 2020. Looking ahead, we expect continued investment in R&D as we have termed on a case-by-case basis to support the development of more complex customer solutions. EBITDA in the second quarter of 2021 was negative €1.7 million compared to positive €2.6 million in the second quarter of 2020. We recorded a net loss in the second quarter of 2021 of €3.9 million compared to net income of €0.2 million in the second quarter of 2020. Based on a weighted average share count of 4.53 million shares in the second quarter of 2021, this translates to basic and diluted net loss of €0.91 per share in the second quarter of 2021. Turning to the balance sheet. We ended the second quarter with cash or cash equivalent of €59.4 million and total debt of €26 million. Now I would like to share our outlook for the third quarter and full year of 2021. For the third quarter, we expect total revenue of €45 million to €50 million. For the full year 2021, we expect revenue growth of about 20% compared to 2020. These projections reflect continued uncertainty related to the ongoing impact from COVID-19 as well as potential -- and as well as potential component and part of strain, which manifests our customers and possibly our -- positive impact of revenue. Overall, we are focused on the many opportunities ahead of us, particularly in the auto and industrial markets, which may also require further investments in our R&D organization and production capabilities. This concludes my remarks. I will now turn the call back to the operator to open up the line for questions. Thank you very much. Operator?
Operator: [Operator Instructions] The first question is from the line of Andrew Buscaglia from Berenberg. Please go ahead.
Andrew Buscaglia: Can we start out with just sort of what you're seeing with -- in terms of -- on the revenue side with the component shortages. Can you -- are you able to quantify what revenue might have been in the quarter? And how much are you really embedding in that 2021 guide? Is there a risk that, that could get worse from here?
Jürgen Eichner: Maybe giving you some -- yes, sorry. So for that part, we had only, as you can see, [Indiscernible] impact, and it was mainly driven by delivery issues, so components that they haven't received. So some of the parts have been shipped into the third quarter. We have all discuss with the customer. We're talking mainly about consumer here, and we seem to be overall okay in the year. So this is why we still hold the guidance. It's not something, at least at the moment where we are too concerned. However, we have to look at it. So it's from my side. Hope that helps.
Andrew Buscaglia: And the U.S. electric vehicle manufacturer production, I believe you said was on track for Q3. Can you talk about any related issues with that?
Jürgen Eichner: Yes, we can. So basically, we are now ramping up in this quarter. The overall issues with the equipment have been resolved. We talked about some delay in some reduction in quantities there. They have been coming from components shortages not because of the component shortage as such, but some other supply problems they have. But now I think, overall, everything is okay. And we -- if everything works according to plan, we should be beginning of the fourth quarter already at a peak capacity or the maximum capacity that we've planned per month. Again, it would be -- this is how it looks like today. And with this once we are up and running, we’ll then stop the production in China and just continue to produce in Germany.
Andrew Buscaglia: Okay. And maybe one last one, and I'll pass it on. To R&D and G&A in the quarter was a little bit higher than I was expecting I guess how much is that related to German years? Is there more of a onetime in nature expense in there that goes away? And should we expect those to get back to like more normalized levels next quarter?
Markus Peters: Perhaps I can bring some color on this issue. I mean, with Germaneers, as we acquired an engineering company, basically, we acquired the intelligence and the talent they have. And the increase of about [Indiscernible] million related to Germaneers [Indiscernible] the run rate, onetime and really increasing our capacities.
Jürgen Eichner: Markus, you were very hard to understand. I'm not sure -- Andrew, did you get that?
Andrew Buscaglia: It was a little bit hard to understand. If you could repeat that, that would be helpful.
Markus Peters: Yes. I will surely repeat it. So with Germaneers, we bought engineering talent. The additional costs that we have in R&D is about €0.5 million related from Germaneers, and this is on a steady run rate. So this is not a onetime effect. That's going to be an increase in our R&D costs and R&D capabilities for the future ongoing.
Andrew Buscaglia: Okay.
Markus Peters: Now it's better with the line?
Andrew Buscaglia: Yes, much better. That's better. Yes.
Operator: The next question is from the line of Anthony Stoss from Craig Hallum. Please go ahead.
Anthony Stoss: How much revenue did you book from the acquisition in the quarter?
Jürgen Eichner: I think, Markus, that's a question for you.
Markus Peters: [Indiscernible] the numbers. Hold on one second, please. In the quarter, €0.5 million or so of revenue?
Anthony Stoss: I'm sorry, I couldn't quite understand that.
Markus Peters: Okay. So external revenue is below €0.5 million. So external revenues for the acquisition is less than €0.5 million.
Anthony Stoss: Okay. Got that.
Markus Peters: We bought talent. We didn't buy a turnover.
Anthony Stoss: Okay. And then maybe, Jürgen, if you wouldn't mind commenting on the fact that you had negative EBITDA instead of, I think you guys are expecting positive. What were the biggest impacts that related or that allowed you to be negative?
Jürgen Eichner: Yes. Let me -- so I think let me hand over to Rob to answer that just upfront and maybe a little bit more color on Germaneers -- we have them in the group. We already -- we have basically been under contract to work on internal projects already. So they keep only a limited amount of external revenue related to prototypes and concept samples for the local OEMs in Bavaria. So they are mainly good in our R&D projects. Just to give a little bit more color on that as well. For the revenue and EBITDA development, maybe Markus, you can say something about the...
Markus Peters: This is something about the -- we have increased costs, especially for adding talent in our organization. This means we are holding, and we have listing expenses that were not in the second quarter of last year because we were not listed. And especially, we added R&D and talent and capacities, not only Germaneers, we also added talent in our organization by hiring talent and by having expenses for external consultants to support us in ramping up production.
Anthony Stoss: And then my last question organ. Jürgen, have your own metal mesh technologies, yet you partnered with SigmaSense for the controller. Did you not have your own internal controller? Or why did you end up partnering with these guys to have access to their controllers?
Jürgen Eichner: Well, so we -- so we always -- so controllers are basically semiconductors, and we use controllers from Atmel, from Microchip from many other companies, including Wacom depending on the case. So -- but we have watched the controller development in general. And what we see with the Sigma controller technology over this one, that we can basically cover all applications at the end of the day with one controller, if everything works out as we envisage it right now. So this was one of the reasons to take a share in SigmaSense to be able to follow also as an investor to follow all the developments very closely. And to combine that with our metal mesh technology, it's an additional advantage because you know we have a very low sensitivity. So we have already a very good sensitivity, but with the SigmaSense controller, it's actually even better and we can avoid switching mode in some touch applications and we want to combine this as well but I'm not sure I could go into detail. We can also combine the sensor with high resistivity touch sensors, which have other advantages. So there is a bit open amount of number of applications that we are targeting.
Anthony Stoss: And then maybe if I can just sneak in one more. So we've -- a lot of discussion over the last year related to your North American EV for the cold form. Can you help us understand maybe other automakers? How many design wins you have for some of these higher-value co-form systems?
Jürgen Eichner: I think -- not sure. but I think last time I mentioned already that we have about 5 cold form opportunities that we are producing. We have 1 already see really 2 years in production. We are ramping up 2 more this year, I think, also in China. And we'll ramp up as we have actually more than we have already 6 of these. Not to that extent, as you know, that particular one is covering of the vehicle completed of the vehicle, so the complete dashboard. Usually, we have 2 displays behind the glass. That would be cluster and with the center information display.
Operator: There are no more questions at this time. I hand back to Mr. Eichner for closing comments. Please go ahead.
Jürgen Eichner: First of all, thank you, everybody, for joining us on the call today. We look forward to updating you on our progress next quarter. And overall, I think we would give you a few more updates in between the next earnings call as well. So we hope to be in touch with you in between as well. Thank you, everyone, and Bye-bye.
Markus Peters: Bye-bye.
Operator: Ladies and gentlemen, the conference is now concluded, and you may disconnect your telephone. Thank you for joining, and have a pleasant day. Goodbye.